Operator: Good morning, ladies and gentlemen. Today is Monday, April 15, 2013, and welcome to the Art's-Way Manufacturing first quarter financial results conference call. At this time, all participants are in a listen-only mode. (Operator Instructions) Your call leaders for today's call are Jim Drewitz, Investor and Press Relations Representative; J. Ward McConnell, Jr., Chairman of the Board of Directors; and Carrie Majeski, President and Chief Executive Officer. I would now like to turn the call over to Mr. Jim Drewitz. Mr. Jim Drewitz, you may begin.
Jim Drewitz: Thank you very much and good morning ladies and gentlemen and before I begin, I would like to before Ward and Carrie begin, I would like to draw your attention to -- except for historical information contained herein, the statements in this conference call are forward-looking and made pursuant to the Safe Harbor provisions as outlined in the Private Securities Litigation Reform Act of 1995. For-ward-looking statements involve known and unknown risks and uncertainties which may cause Art's-Way Manufacturing's actual results in future periods to differ materially from forecasted results. Those risks include, among other things, the loss of market share through competition or otherwise; the introduction of competing technologies by other companies; new governmental safety, health and environmental regulations which could require Art's-Way Manufacturing to make significant capital expenditures. The forward-looking statements included in this conference call are only made as of the date of this call and Art's-Way Manufacturing undertakes no obligation to publicly update such forward-looking statements to reflect subsequent events or circumstances. Important factors that could cause actual results to differ materially from the expectations reflected in the forward-looking statements include, but are not limited to, factors described under the caption risk factors in the Company's annual report on Form 10-K filed with the Securities and Ex-change Commission. With that, I’d like to turn the call over to Mr. Ward McConnell. Mr. McConnell?
Ward McConnell: Thank you Jim and thanks everybody for attending on tax day. We’re all shuddering today a bit. Anyway we’ve had a good quarter and to start off I’d like for Carrie to tell us the financial side.
Carrie Majeski: Good morning. Thank you for joining us and your continued interest in the company. The first quarter was an excellent quarter for us. We announced 33% increases to our net sales. Our net sales for the first three months of the year were $8.415 million compared to $6.312 million. The largest gain came from our Ag product sectors. That was some $303.988 million last year to $7.0400 million this year. Of that increase that was a 75% increase in our Ag products line. Of that increase, $1,221,000 was attributed to the acquisition we did last year with Universal Harvester Company. We had an additional gain of $1,177,000 on our Ag equipment lines. So we’re very pleased with the increase in sales in Ag overall in additional to the acquisition. Pressurized vessels had sales of $330,000 in the prior year and this year is at $394,000, an increase of $64,000. Our modular buildings segment which we’re anticipating a contraction in, had sales last year of $1,994,000 compared to $1,017,000 this year. Operating income for the first three months also increased for the year and increased to $713,000 in comparison to $362,000 in the prior year. Again the Ag factor contributed significantly to this. The Ag sector increase was $425,000. In the prior year, our income from operations was $136,000. This year is $561,000. Our pressurized vessels segment continued to show a lot from operations. Last year was $88,000 compared to $123,000 this year. Income from operations from the modular buildings segment was $314,000 last year and that did dip to $275,000 which is a slight contraction. So our total operating income again was $713,000 and that represented a 97% increase over the prior year. Our net income before tax also increased significantly. In the Ag product lines, our income forecast is up to $1,176,000 compared to $137,000 last year. In addition to the increase in the revenues and operating income, we did close a land deal in Armstrong. We had some property around the manufacturing facility that we sold off as well as we sold off our facility in Salem, South Dakota. We did have a small loss on the building in Salem, but had a large gain on the sale of both property in Armstrong and that attributed to that income before tax. Income before tax for our pressurized vessels for the first quarter of this year a loss of $176,000 compared to a loss of $144,000 last year. our modular building segment had income before tax this year of $261,000 compared to $290,000 last year. so we’re very pleased in our modular building that despite a significant decrease in sales that we’ve been able to maintain the income levels at this point in time. And that’s of course because our net income is up so significantly our earnings per share is also up significantly. Last year we would have been at $0.05 per share and this year we’re at $0.20 per share. And with that, Ward, I’ll hand the call back over to you.
Ward McConnell: Thank you, Carrie. I’m going to add a little bit to what she has said. The backlog currently is up in the Ag section, the manufacturing section up from the bottom in dollars. UHC, the Universal Harvester that we bought last year backlog is $936,000 for a total Ag of $8,243,000. Vessels is up significantly from $465,000 last year to about $800,000 this year. Scientific however is down. At this point last year they had a $5,380,000 backlog and currently their backlog is about $850,000. We feel pretty strong about the possibility going forward. So I think with that we’ll go to questions.
Jim Drewitz: Erica, if we can, let’s go ahead and entertain questions.
Operator: (Operator Instructions). Our first question comes from Andrew O’Connor from BMO Asset Management. Please state your question.
Andrew O’Connor - BMO Asset Management: Congratulations on your progress. Wanted to know, how would you characterize the current pricing environment for the products Art’s-Way manufacturers relative to say six to nine months ago and then how do you see pricing trending going ahead or looking ahead? Thanks very much.
Ward McConnell: Well, we’re not bashful about pricing. I wouldn’t say it’s any different than it was six or nine months ago. We do not hesitate to take price increases annually. So I don’t feel any price pressure from any of our product lines.
Andrew O’Connor - BMO Asset Management: So in terms of an indication for demand, Ward, looking ahead on pricing, would you expect pricing to flat line here for the next couple of three quarters or are you anticipating a strong pricing environment?
Ward McConnell: Well, I don’t expect it to change much, but what we do is an annual price increase and we do it in September, October on all our products. That will be in effect until this year and I don’t see anything that would prevent us from doing it again this year as we have for many, many years in the past.
Andrew O’Connor - BMO Asset Management: And then I’ve read your comments on backlog for the manufacturing segment, the backlog is now a $1 million up from, I’m not sure I caught the prior number.
Ward McConnell: It’s up from 63 to 73, $6,300,00 a year ago and $7,300,000 this year.
Andrew O’Connor - BMO Asset Management: Got you.
Ward McConnell: We’re up a $1 million.
Carrie Majeski: I would just like to interject that in addition to that $1 million for the Art’s-Way manufacturing segment, our UHC division would have almost another $1 million on top of that. So the whole Ag sector is up almost $2 million.
Andrew O’Connor - BMO Asset Management: Okay. So from 63 to 83 then, is that more relevant?
Carrie Majeski: Yes.
Andrew O’Connor - BMO Asset Management: Okay. And then lastly, the one time gain for the land sold, $630,000, is that an after tax number?
Carrie Majeski: No. That was our gain before tax.
Andrew O’Connor - BMO Asset Management: Okay. So is there an after tax number there?
Carrie Majeski: That would be included in the Q.
Operator: Our next question comes from Roger Miller from Foggy Daze International. Please state your question.
Roger Miller - Foggy Daze International: Today unfortunately puts me at a rather difficult spot due to the fact it’s tax day. So I was in the middle of doing that when I had to scramble to get to a fixed line phone. My first question is which I’ve seen on the message board, I wanted to clear this up and I thought the best way to do this would be to let someone in the company answer it. Recently Worthington Steel, which is based out of Columbus, Ohio and I’m very familiar with them, made an acquisition of Palmer Tank which is in the oil and gas industry. And in the last conference call Dan Palmer made some statements about the oil and gas industry and the very competitive pricing. This acquisition that Worthington Steel made was very substantial and accretive to earnings. Is there any questions going forward that you may spin off the vessels division or they may move in to a different segment that you’re not in in order to get profitable?
Ward McConnell: I don’t know about this. I know Worthington Steel, but I didn’t know -- they bought a tank company you’re saying?
Roger Miller - Foggy Daze International: They bought Palmer Tank in the oil and gas industry and I think you should look into that.
Ward McConnell: Yeah.
Roger Miller - Foggy Daze International: I figured somebody would have been …
Ward McConnell: We have sent our man up in Dakota to have a look at it.
Roger Miller - Foggy Daze International: From what I understand basically, the pricing coming out of Texas and what these people are willing to pay isn’t worth manufacturing and that was basically coming out of Dan Palmer in the scientific division. That wasn’t coming out of vessels. So is that correct?
Ward McConnell: I guess I don’t remember what he said about it, but he is in the scientific division. You’re right. He’s not in our vessels.
Roger Miller - Foggy Daze International: Well, let’s put it this way. Going forward, is there a possibility vessels -- we’ll just put it this way. May look at the oil and gas industry and then come back to the shareholders and say it’s just not feasible or it is feasible.
Ward McConnell: I can say something about that. I looked into a company up in North Dakota that was making tanks for that industry and they wanted some investors, but they wanted to -- it was exorbitant what they wanted us to get in that. I just couldn’t make it fit.
Roger Miller - Foggy Daze International: I think in the past you commented on that.
Ward McConnell: Yeah.
Roger Miller - Foggy Daze International: I know I’m asking hard questions, but I think that’s what I’m supposed to do. So my suggestion would be to look at Palmer Tank overall and see what they’re doing. I think the past I think I recommended looking at Chart Industries out of Cleveland, Ohio.
Ward McConnell: I’ll take a look at Palmer Tank.
Roger Miller - Foggy Daze International: So let’s talk about Universal Harvester because I think that’s a bright and shining star in Art’s-Way. John Deere, I’m doing this off the top of my memory, just reported in the combine division phenomenal sales and on the other hand Titan who’s based -- you’re familiar with Titan. I know you are. With all the dealerships they have come out with less than expected earnings. But obviously when I saw the combine sales I felt very strongly more so than I have in the past by Universal Harvester. Am I correct?
Ward McConnell: Yeah. We got some -- sales are up and earnings are up and we’re trying to do some other things with it, like we have people willing to sell combines that buy wheels from us as well as we’ve got some OEM and I’m in a program right now they’re trying to see how we can mix in some parts business with some additional parts to that same group of dealer. However if it comes to duration I hope that it does, but it’s early to say. I’m certainly looking at adding a number of parts. And that business is -- I think we’ve expanded it a little bit, but I think we can trend it a lot more.
Roger Miller - Foggy Daze International: Well, I’m sure you may be aware, I don’t know, that I made a suggestion that that business is very fruitful and you may want to look at going across the country, maybe not all the way across, but expanding your territory to capture more dealers. Is that something you may look at?
Ward McConnell: We have a very good OEM candidate. They sell some -- these real seem to ward better in the tougher crops like in California we had a dealer out there who sells them and one candidate is slow verse which is more difficult than regular combine. But I don’t know. The actuary will help across the country, but they’ve never been very proactive with sales and so on. We’re trying to do that. We’re also involved with another sales people to sell to dealers, but it’s a nice well business.
Roger Miller - Foggy Daze International: Originally I saw the dealer that Universal Harvester put out and then afterwards, after you took it over it looked like you got shocked significantly and…
Ward McConnell: Well, they had representatives (inaudible)
Roger Miller - Foggy Daze International: That must have been a onetime gain, right?
Ward McConnell: Sorry about that. What did you say?
Roger Miller - Foggy Daze International: Well, I assume that was onetime gains that they had made. They had made sales to the people that really weren’t in the distribution or wholesale or in the repair business.
Ward McConnell: No. they just put everybody that ever worked for them likely.
Roger Miller - Foggy Daze International: Right. I saw there was three people right around May and of course most of the people in Ohio fell of the face of the earth. That’s why my -- I don’t know who your competition is at this point in the Midwest, but I would assume they would do significantly more business if they expanded this way or looked for an acquisition in the same business where your strength is.
Ward McConnell: Yeah.
Roger Miller - Foggy Daze International: The market is reporting deflation in what I called fixed expanses and we see oil coming down significantly which is not what the so-called analysts were predicting a short time ago. We also see natural gas stabilizing, going up slightly, but not anywhere near where it has been in the past and of course diesel fuel remains high, but that gas is important. How is this affecting your business?
Ward McConnell: Well, some of the pricing -- the biggest money we buy is steel and steel has stabilized at the moment. It has been for six months or so. So I don’t think steel will go up power all the time and our attempt is to cover that price increase and I think we do that pretty well. On the scientific side, everything from a current coat, everything is coated. So we don’t have the fluctuation recorded, including pricing that would cause us to buy it. So in steel and vessels and so on, I think it’s pretty stable at the moment, but increasing slightly.
Roger Miller - Foggy Daze International: Yeah, I would agree with you. However, the steel industry it’s on its knees everywhere around the world at the moment and I don’t anticipate much fluctuation in pricing going forward at this point.
Ward McConnell: I don’t think so.
Roger Miller - Foggy Daze International: Not really. We see residential housing moving rapidly forward, but not so much in commercial and we also see some manufacturing come back to the States. Will this affect you in any way?
Ward McConnell: Not that I can think of. I don’t think it will affect us. We buy all we can domestically. We have a couple parts items that we buy in China, but we’re not China folks.
Roger Miller - Foggy Daze International: So would it be fair to assume or say that due to the fact that most of your sales are in the United States. Is that correct?
Ward McConnell: Well, we have some export business.
Roger Miller - Foggy Daze International: Right, but it’s a small percentage of the company, right?
Ward McConnell: Yes.
Roger Miller - Foggy Daze International: So if you look at Europe as a whole where the downturn has affected major U.S corporations, how has it affected you?
Ward McConnell: Well, we have customers, we have a regular customer in England who does very well for us and it fluctuates the price of milk and so on over there. We sell the very, very odds and ends on the company. Once in a while we get an order from France. Once in a while we get an order from Germany, but they’re pretty rare. And then otherwise other markets are Australia where we have an importer who doesn’t do as well as the fella in England but he does pretty good for us and again in Asia we have an occasional sale but just not very often.
Roger Miller - Foggy Daze International: So your sales have maintained stabilization due to the fact that you’re not dependent on Europe, correct?
Ward McConnell: We’re not dependent, yes. I don’t think we’re concerned with EU or any sales -- we’re not dependent upon them.
Roger Miller - Foggy Daze International: How about South America? Is there any hope of going into some of those countries with like your Sugar Beet Harvester?
Ward McConnell: I don’t think so with the Sugar Beet Harvester, but I think there’s some market down there and we have also a scientific building deal going in Brazil and Palmer is -- I don’t know, he’s kind of planning a trip down there which we’ll having more course of too. But we’ve never shipped much to South America. I don’t remember anything. But to fill the rig pretty stiff country and we have an interest in and there’s a big farm show down there at the end of this month that we looked into, but declined to join.
Roger Miller - Foggy Daze International: Maybe you should just attend it.
Ward McConnell: Yeah.
Roger Miller - Foggy Daze International: With the earnings you’re showing, you’ve got a little play there and if you could try to go forward in sales.
Ward McConnell: Yeah. We’re doing it and it’s something that is pretty important to us as well. We’re currently upgrading an awful lot of our equipment and the equipment is primarily from the early 90s or older and the current state of the art is far beyond what it was 20 years ago. So we bought a couple of new machine tools that are very, very advanced with the current time and we’re looking at more. We have some old equipment that needs to be replaced and we’ve bought a new press rake, a new machining center and a new fantastic steel cutting saw which you shouldn’t leave it alone by itself sort of thing. But there’s of course a lot more to it than that. And those two things have not arrived yet. They’re due in June, but we’re anxious to get them and get them going. We’ve had a lot of repair breakdown of the equipment we had and we suffered through with it. But it’s time to replace it and appreciation helps from so and so. We are working that pretty hard right now.
Roger Miller - Foggy Daze International: And how is engineering going overall?
Ward McConnell: We’ve got a young lad that we’re just tickled to death with. He lives near Armstrong now and he’s from there, state university graduate and he’s from and a farm and we feel that he’s really brought our engineering up to speed. We’re very pleased with him. We need a couple more, but we’ve got a good man running it now, this young man and very, very pleased with him. He’s made some changes and additions to our harvesters and our grinder and it’s just really good to have somebody on board like that. We haven’t had anybody on board like that for some years really. We’ve had some people we’ve committed dollars on and as you people know we had a difficult time recruiting in Armstrong, Iowa because it’s so remote. But this man is from there. So we feel pretty good about that.
Roger Miller - Foggy Daze International: Would you like to comment on any new products in any of the different divisions?
Ward McConnell: Well, mostly right now we’re trying to upgrade them, trying to bring them forward to more modern design and so on and working on -- we’ve done quite a bit of work this year on the Beet harvester. We’re going to provide a new level of grinder soon, within the next couple of months and this really trying to make what we have better.
Roger Miller - Foggy Daze International: What does that grinder sell for?
Ward McConnell: $50,000.
Roger Miller - Foggy Daze International: So it’s a substantial line amount?
Ward McConnell: Yes.
Roger Miller - Foggy Daze International: And what’s the market for it like?
Ward McConnell: Well, short story when we actually started or shortly thereafter, they made $10,000 yearly and there were several other people who made them as well. I estimate the current market to be about 300 and we enjoy the biggest part of that 300.
Roger Miller - Foggy Daze International: And is there any news on a potato harvester, about reengineering it or manufacturing it again?
Ward McConnell: Well, we made 10 of them I guess it was two years now for our customer up in North Dakota. He wants more we’d make them, but he has indicated he wants them. We only make them through order.
Roger Miller - Foggy Daze International: Okay. Well, before I get off the phone here and listen to everyone else, any comments about -- Dan Palmer is not on the phone, right?
Ward McConnell: I don’t think so. He’s on the road today.
Roger Miller - Foggy Daze International: Okay. Well, I was really impressed with him on the last conference call. I was impressed with his knowledge and his visibility and vision.
Ward McConnell: We are too. We’re in the same boat.
Roger Miller - Foggy Daze International: What can we feel going forward? I know you’ve got all these bids in and it amounts to a tremendous amount of money, but and you had one huge job which took what, a year to finish up?
Ward McConnell: Most of the year.
Roger Miller - Foggy Daze International: So going forward, it’s unknown at this point how much that division is going to do. Is that correct?
Ward McConnell: It certainly is. The biggest problem to answer that is that it’s all going one way or another to the government. Research is done at the university. They’re having budget cuts with the government. And so that trickles down. This does -- I only went to California this job we had it was from their, what do we call university departments they’re donators.
Roger Miller - Foggy Daze International: Yeah. A lot of those alumni probably.
Ward McConnell: Yeah. But most of these time jobs is in malingering through three, four years and then of course they slowed down this year again, but if they ever break they probably, if they ever get any money we’d be swamped.
Roger Miller - Foggy Daze International: So you’re in a holding pattern there (inaudible).
Ward McConnell: We’re not out of it. We’re working the angle side of that more now at the moment. We’ve got some business. We closed a deal last week that was pretty substantial.
Roger Miller - Foggy Daze International: Can you tell us how much that was about?
Ward McConnell: $446,000.
Roger Miller - Foggy Daze International: That’s a nice pocket change.
Ward McConnell: Yeah.
Roger Miller - Foggy Daze International: Well, I’m going to let someone else go forward and like I said this is very difficult because it’s tax day and I just got completed and scrambling all around to get everything done. So I’m in one of my offices but the one I prefer to be in.
Operator: Our next question comes from Sam Rebotsky from SER Asset Management. Please state your question.
Sam Rebotsky - SER Asset Management: Can I assume that Dan Palmer is not related to the Palmer Manufacturing and Tank Company?
Ward McConnell: Yeah, he’s not.
Sam Rebotsky - SER Asset Management: Okay. Let’s see. And as far as the scientific, is there any business that’s set aside for smaller companies like Art’s-Way in any of the projects or is everybody competes on an equal basis?
Ward McConnell: For modular buildings?
Sam Rebotsky - SER Asset Management: Yeah, for modular that the government will finance.
Ward McConnell: I think -- well there are some businesses also we’re in the pharmaceutical industry. We’ve had some of that. There’s quickly the dairy industry which is the one from last week. They bought some buildings from us two years ago and they’re adding and very quickly they were losing a lot of calves. It’s a big dairy and every new born calves were going in half and so on. They bought them on work and put in creating alarms to hold the animals and they increased their mortality rates. They were having a terrible mortality rate life. They were only recovering 30% or something and we took them up to about 60%, 70% will be filling. That’s why they came back. So we’re working that right now and we’re working hard building right now. We just put an ad that we’ve done before in the National Hog Growers previously. Palmer works at all, but he always has his -- he’s an expert on the laboratory side and of course he keeps design on that. But it is down right now, there’s no doubt about that. But he’s working the other.
Sam Rebotsky - SER Asset Management: And the size of your bids that are in the millions of dollars that you have bids in at this point in time and presumably the weight is relative to financing from the federal government. Could you (inaudible).
Ward McConnell: Grant money from that.
Sam Rebotsky - SER Asset Management: What’s that?
Ward McConnell: Grant money.
Sam Rebotsky - SER Asset Management: Grant money?
Ward McConnell: Yes.
Sam Rebotsky - SER Asset Management: Is there a quantity of the dollar amount that you have bids on in? did you say that? I didn’t hear if you did.
Ward McConnell: No. I don’t know what it is right now. It varies. A lot of the bids don’t vary so much, but the releasing of the money to the university for this research or that research is on hold. I think we have a code into NASA that’s on hold. One of the things we’re working on now is food industry. Some California growers of vegetables have (inaudible). Problems are the government is worried that they have problems or they’re thinking about having the testing facilities on their farms that at times caught fire, but we also have had in their journals so that they would know that these are available.
Sam Rebotsky - SER Asset Management: Is there a dollar amount that you need to break even in this type of business?
Ward McConnell: Well, of course always, but we’re downsized. We can downsize that quite easily as far as people are concerned.
Sam Rebotsky - SER Asset Management: Okay. Let me switch to the sale of the land. I presume that -- do you have any other land that you expect to sell or is that complete at this point?
Ward McConnell: No, we don’t have any other. We cleaned up a loss that we had on the property and the sale in North Dakota and we had this excess land. When Art’s-Way was born many years ago they went outside of town and bought a farm and built on the farm and we still have probably 30 acres left that we’re using or will be using in there. We didn’t sell anything that would have hurt us. We just sold some little far away.
Sam Rebotsky - SER Asset Management: And this just came about because people were aware you wanted to sell or they came to you and wanted to buy or?
Ward McConnell: No. the land was selling around there for high prices which we thought we would catch. We sold some pieces of this for $10,950 an acre or something.
Sam Rebotsky - SER Asset Management: That sounds good.
Ward McConnell: Yeah. It was just excess land that we were getting. We rented it out, but we didn’t get any money after that rental. No way it hurts us.
Sam Rebotsky - SER Asset Management: Okay. So I guess the Universal which seems to be growing at your -- is that better than you expected the growth that you’re getting out of that and you’re integrating it with your other operations? Are you able to cut costs?
Ward McConnell: Standalone?
Sam Rebotsky - SER Asset Management: Yeah.
Ward McConnell: We have plans for expanding it, but we haven’t done much yet, but sales are up from where they were when we bought it.
Sam Rebotsky - SER Asset Management: Was that within your expectations after you acquired it, the growth in the sales?
Ward McConnell: Well, it’s in our expectation that we would work on that, yeah.
Sam Rebotsky - SER Asset Management: So at this point are you looking for other clip-ons to acquire or are you?
Ward McConnell: Absolutely. Yes.
Sam Rebotsky - SER Asset Management: So I guess the big income happens from the scientific, the big pieces and I guess we’ll have to wait and see what happens there. So we’ll be down from last year because of the scientific, but the other pieces should be growing proportionately or the way they’ve grown in the first quarter or what are our expectations for scientific throat when you add on UHC and everything with the profits, et cetera?
Ward McConnell: Well, I don’t expect any decline in profit for the year.
Sam Rebotsky - SER Asset Management: What’s that? You don’t expect a decline in profit?
Ward McConnell: No.
Sam Rebotsky - SER Asset Management: Including the scientific and everything?
Ward McConnell: Yes.
Sam Rebotsky - SER Asset Management: That’s wonderful.
Ward McConnell: Ag is still strong.
Sam Rebotsky - SER Asset Management: It dissolved out. So hopefully we can keep improving the numbers.
Ward McConnell: Yes. Thank you.
Operator: We have a follow up question comes from Andrew O’Connor. Please state your question.
Andrew O’Connor - BMO Asset Management: Ward, do you have a snapshot of the balance sheet at quarter end, just simply cash, total debt, equity? Thanks again.
Ward McConnell: Well, we’ve been cash rich for the last several months. We haven’t been into our line of credit, our short term line of credit since last fall and we still have pretty good cash balance. Although we’re using cash right now for building Sugar Beet harvesters, but our balance sheet looks pretty good and our interest expenses will be declining because we have land and we don’t get any value much out of the money we have because the interest rates. But it’s nice to have and we can use it if we find the acquisition we want.
Andrew O’Connor - BMO Asset Management: Sure. Okay.
Carrie Majeski: I can give you some of the numbers if you want that will be in the Q as well. Cash is sitting at $3.5 million compared to $1.5 at our yearend. Accounts receivable are pretty consistent with yearend at $2.7 million and our long term and our current portions of long term debt are consistent with what they were at yearend. Right now our current portion is that $1.2 million and our long term portion is at $7 million.
Andrew O’Connor - BMO Asset Management: Got you. For a total of $8.2 million?
Carrie Majeski: Uh huh.
Operator: (Operator Instructions). At this time we have no further questions.
Jim Drewitz: Ward, great call. Go ahead and close it out.
Ward McConnell: Well, thank you so much. I know everybody is busy, Roger included on tax day. We look forward to our next call and thank you so much for joining in this time and please come to our -- if you can, on the 25th is our annual stockholders meeting in Armstrong, Iowa and we’d love to have you come to visit our factory and so on, on that day. Thank you again.
Operator: This concludes today’s conference call. Thank you for attending.